Operator: Welcome to the Amyris First Quarter 2020 Financial Results Conference Call. This call is being webcast live on the Events page of the Investors section of Amyris's website at amyris.com. This call is the property of Amyris and any recording, reproduction, or transmission of this call without the express written consent of Amyris is strictly prohibited. As a reminder, today's call is being recorded. You may listen to a webcast replay of this call by going to the Investors section of Amyris's website. I would now like to turn the call over to Peter DeNardo, Senior Director of Investor Relations and Corporate Communications. Please go ahead.
Peter DeNardo: Thank you, Christy. Good morning and thank you for joining us today. With me today are John Melo, President and Chief Executive Officer; Han Kieftenbeld, Chief Financial Officer; and Eduardo Alvarez, Chief Operating Officer. Please note that -- I would like to now to turn to Slide 2 in our webcast and please note on this call you will hear discussions of non-GAAP financial measures, including gross margin figures. Reconciliation of these non-GAAP measures to the most directly comparable GAAP financial measures is contained in the summary financial information slides of the accompanying presentation or the news release distributed today which is available at investors.amyris.com. The current report on Form 8-K, furnished with respect to our press release, is also available on our website as well as on the SEC's website at sec.gov. During this call, we will make forward-looking statements about events and circumstances that have not yet occurred including projections of Amyris's operating activities and their anticipated financial impact on our business and financial results for 2020 and beyond. These statements are based on management's current expectations and actual results and future events may differ materially due to risks and uncertainties, including those detailed from time to time in filings Amyris makes to the Securities and Exchange Commission, including annual reports on Form 10-K, quarterly reports on Form 10-Q and current reports on Form 8-K. Amyris disclaims any obligation to update information contained in these forward-looking statements, whether as a result of new information, future events or otherwise. Please refer to the Amyris SEC filings for detailed discussion of the relevant risks and uncertainties. I'd like to note that the Oppenheimer Fifth Annual Emerging Growth One-on-One Conference, previously to be held in New York next week on May 12 has been changed to a virtual event on the same date due to COVID-19 considerations. Amyris will hold scheduled one-on-one meetings with investors by individual phone calls throughout the day. Before we begin today, again, I'd like to note that included in our webcast is the slide presentation we will refer to in today's presentation. I'll now turn the call over to John Melo. John?
John Melo: Thank you, Peter. Good morning everyone and thank you for joining us today. I'm going to give you some indication as to the slides I'm turning to help you follow the slides through the presentation. So, I'm on Slide 3 now. With me today are Eduardo Alvarez, our Chief Operating Officer, who will share operational performance highlights and the key steps we've taken to reduce our cost of goods sold. And then, Han Kieftenbeld, our new CFO, who has been with us since March. Han will review our financial results, as well as our outlook for the full year of 2020. Welcome aboard, Han. Great to have you with us today. I'm going to move to slide -- please turn to Slide 4 for me. Before I continue, I'd like to take a moment to thank our employees, customers and suppliers for their strong commitment towards keeping everyone safe during the COVID crisis. Through our and that of our supply chain partners' extraordinary efforts, we've been able to maintain our mission of providing safe and clean products while continuing to meet elevated demand. Our thoughts are with all of you and we hope that health and economic hardships of COVID will quickly pass and bring relief through financial and scientific support to help the economy and to help therapies -- define therapies and a cure for this virus. We've supported many first-line workers by supplying over 20,000 units of our hand sanitizer. We're working hard to scale and make available our Squalane vaccine -- the Squalane vaccine adjuvant with several leading candidate vaccines and we are working through early trials of therapies for COVID-19. The vaccine adjuvant has now been validated by one of the leading pharma companies in the world and could be a solution to help scale certain vaccines. Our aim here is to partner with pharma companies who have vaccines and trial and play a role in helping them rapidly scale these vaccines once they have been successful through trial. These are a few of the activities we're working on to play our role in applying our synthetic biology platform and product portfolio to making a difference and helping us through this pandemic. I think this is where our platform and the real science is really at its best. Our true core skill is being able to, better than anyone in the world, develop and scale complex chemistry fast and deliver it in an unlimited volume so we could meet the needs of a global marketplace for these kinds of treatments and vaccines. Let me move on to Slide 5. Near the end of March, we realized there was a very strong need for a healthy sanitizer in the market. We saw many hand sanitizers sold with formulations focused on clean, but not focused on keeping our hands healthy. We decided to help meet the need of frontline workers and keep them healthy and safe and developed a unique formula based on pharmaceutical-grade alcohol and our award-winning Squalane moisturizer. This Pipette-branded product has seen significant uptake with consumers. We sold over 1 million units and are working hard to increase production capacity to deliver on these sales and to meet the strong demand and the critical need for a healthy sanitizer as the world starts to reopen. We think this is a great testament to the innovation and collaboration amongst our teams and partners and the power of the technology platform we have built. We developed and launched a winning products through the Pipette baby brand in less than two weeks from idea to first production. We are in process of increasing production capacity to meet 1.5 million units of monthly sales and expect to reach this level by the end of June. At this sales rate, we could generate about $10 million in monthly revenue from our consumer brands, starting in June and we have the opportunity to maintain and grow our monthly revenue from this level. This is also important to note. It's a good margin product, a strong cash generator with a cash cycle that is less than 30 days due to the fact that a significant portion of sales are online. And I'll remind you that since we started with this particular product, we've already tripled our ability to produce volume every week and we've doubled our warehouse capacity and are really working very hard with our partners to increase throughput as they have to social distance and managed shelter-in-place orders throughout our supply chain. We started the year with more than doubling our revenue from the first quarter of 2019. We are seeing this growth both from our product sales in our collaboration revenue from our development programs with our long-term partners, which is really the foundation of our business. Strong partnership, strong relationships that invest in deliver disruptive products to market. We are pleased with our earnings growth, which was driven by year-over-year sales growth, improved sales mix due to consumer brands, and lower unit costs. We also made significant progress during the quarter to reduce and simplify our debt and we are actively working to further improve our balance sheet throughout the year. We expect to end the year with about half the debt -- half the level of debt that we started the year with. Let's move on to Slide 7. Our revenue for the quarter was 76% from product sales and 24% from collaborations. We expect this mix to continue and are experiencing significant acceleration in demand for our ingredients and our consumer-branded products. Based on what we are experiencing since the start of the second quarter, we believe the consumer business has the potential to reach over $90 million in revenue for 2020 compared to around $17 million in 2019. Our ingredients business delivered around $47 million in revenue for 2019 and the current performance can result in about $90 million in revenue for 2020. We're very pleased with our consistent growth rate from our ingredients business and with the significant acceleration of growth from our consumer activity, especially as we have entered a phase where most consumers are now working and shopping from home. The other positive movement is that the mix of revenue from the consumer business is fairly well split between our Biossance brand and our Pipette brand, which are both having an excellent year. For ingredient sales, Squalane was the largest revenue contributor in the first quarter and is expected to be about one-third of our ingredient revenue for the year. Our biggest revenue contributor for the year is expected to be -- our second biggest, sorry about that. Our second biggest revenue contributor for the year is expected to be our zero-calorie natural sweetener from sugarcane -- molecule made from cane. And then Farnesene and Clearwood with about the same level of contribution and the rest of the ingredients following with fairly equal contribution to revenue. A way to think about this, we have two new ingredients in the portfolio where 2020 is their first full-year of commercialization. Each one of those will generate $10 million or around $10 million of revenue and that gives you a sense of the power we've now built into the ingredient portfolio, and the scale that that's generating for us. Our ingredient business has also delivered very strong unit margin improvements in the first quarter and we expect full year for the ingredient business to deliver an estimated 20% adjusted EBITDA when you consider the direct selling and support costs to take those products to market. About 96% of our product sales are in clean skincare, sustainable health, flavors and personal care and household cleaning. Each of these segments are benefiting from the current COVID-19 environment. The remaining 4% of our business is in aroma ingredients for use in perfumes and this activity has seen a significant drop in demand during this period. The consumer side of our business delivered a very strong first quarter and finished April with a record month by a factor of more than 2x historical levels. Consumers are shifting their buying online and our direct to consumer business is benefiting through our biossance.com, pipettebaby.com, biossance.com.br, and sephora.com business. We are also experiencing very strong sales performance for the Pipette brand through amazon.com, target.com and walmart.com. A couple of points there. In Amazon, Target, and Walmart, we've not yet started selling the hand sanitizer. We expect to start in Amazon over the next week or so and then following on with Target very quickly thereafter. And we're seeing again very strong demand in those channels for online purchasing. Not including the third-party sites that we sell through, we had over 1 million consumers visit our directly-owned web stores in the month of April alone. That compares to 160,000 consumers visiting April of last year. This momentum has continued in May. We had over $1 million of sales from our consumer brands in the first four days of May. Let me now turn to Slide 8. It's been the most intense period in our history. We have had many of our teams sheltering at home. We are an essential business and have kept our critical operations working while implementing social distancing and all other practices to ensure the safety and health of our people and partners. That remains our Number 1 priority. We are doing this at a time where demand for our products is well beyond our expectations. We've been able to deliver this performance while managing our costs and keeping our unit margins within expectations. I have a huge amount of appreciation for each of our teams and our partners for all that they are doing. At the start of 2020, we set out four strategic priorities to focus our execution on accelerated growth and a clear path to profitability and sustained cash generation. These include four -- strong alignment around these items, high growth consumer brands, scientific and commercial collaborations that are capable of delivering three to four new molecules a year, supply chain optimization that continues to contribute to expanding unit or expanding gross margin and lower unit cost and an improved balance sheet that is delivering growth in earnings and positive operating cash flow. Let me close out my remarks with a few key points before turning to Eduardo who will provide an operations update for us this morning. First, we delivered a strong first quarter where we more than doubled revenue while improving our costs and have significant traction to maintain a 76% product revenue to 24% collaboration revenue mix for our business. In other words, products are now starting to underpin the business and collaborations are becoming a lower part of our overall portfolio. This is a sustainable shift and a great way to underpin our business for sustainable cash flow into the future. At the current level of performance and with this sales mix, we could deliver a 30% positive adjusted EBITDA as we exit the year and we can do that consistently based on the mix, the portfolio and the momentum in our business. Secondly, 96% of our products are sold to end markets that are experiencing strong consumer demand during the COVID-19 crisis. We believe this can deliver upside to our revenue guidance for the year. It's early and there are many uncertainties ahead of us, making it very hard to predict the future at this point. Our consumer brands are experiencing much stronger demand than we expected and we are benefiting from a very strong consumer shift to shopping and buying online. We have launched a category-leading hand sanitizer and are expanding our product line for hand and body wash and hand moisturizing products to keep the hands and body safe and healthy at a point in time where consumers have shifted. We expect this consumer shift to health and safety and buying online from brands they trust to deliver clean and sustainable ingredients is here for at least the next 12 months to 18 months or until we have a working vaccine for COVID-19. Consumers have shifted away from makeup and fast fashion and are focused on keeping their skin healthy and we are beneficiaries of this shift with the world's leading moisturizer and our sugarcane Squalane. Our first quarter is a very good start to the year and our second quarter is accelerating to deliver our best consumer sales quarter in our history. Let me now turn over to Eduardo.
Eduardo Alvarez: Thank you, John and good morning everyone. Please turn to Slide 9. Let me start with an update to our operation since COVID-19 started. On March 9, we launched a task force that helped us enact appropriate procedures at all our sites to protect the safety and health of our employees and to prevent the virus from spreading. Thankfully, all of our employees are safe and healthy. Production activities in Brazil, Europe, and North America have continued as we are an essential business in all of these jurisdictions. We did experience a small slowdown in a couple of production activities, but we thank our partners and employees for their efforts. Our activities have largely remained unaffected. During the first quarter, we shipped 637 metric tons of product, which corresponds to a product revenue of $23 million of the $29 million total revenue that Han and John will report. This $23 million in product revenue is 92% higher than the revenue for the first quarter of 2019. As we reported in our fourth quarter review, we continue to see the benefit of shifting production to our lower cost locations in Brazil and also from continued process and technical improvements. For the first quarter, we achieved lower unit cost in five out of the seven -- sorry, out of the eight products that we delivered. As a result, we have completed five quarters in a row with improvements in production volume, unit cost and margin. Let me offer now some color and detail of how we have delivered these results. First, let me talk about improvements in scale. I will use Squalane as an example. We have continued to debottleneck our Squalane production plant in North Carolina. And for the first quarter, we produced 475 metric tons of Squalane, delivering another quarter-on-quarter improvement. We expect that improvements in production and scale will continue into the second quarter and for the rest of the year. We remain on track to produce around 2,000 metric tons of Squalane in 2020. In addition, we have seen a recent 10% to 15% decrease in the purchase price of one of the highest cost raw materials for Squalane, palladium. We are taking necessary steps to ensure we continue to benefit from this type of sourcing opportunities in the future. Second, our production campaigns remain on target. Remember, for example, we are in the middle of our next production campaign for our sweetener product and our fermentation results both for yield and productivity are better than planned. We're also deploying a new purification process for this product that is delivering three times the higher throughput than the campaigns we ran in 2019. And from a quality perspective, our pure cane products have been doing very well. For example, our cup for cup culinary product, which is used for baking and cooking applications, have been on the top spot for the natural sugar reduction product category on Amazon for eight straight weeks. The great feedback from consumers reaffirms that our sweetener from fermented sugarcane is the best tasting natural sweetener in the market. Third, we have continued to expand our production capabilities to sustain our growth and performance. As John mentioned, we launched the hand sanitizers product in two weeks. Let me offer some examples about what that took. By the end of the first week, we were already producing 40,000 units per week. Right now, we are operating at a 700,000 unit a month and as John mentioned, we'll be at 1.5 million units a month in just another few weeks. Thanks to the extraordinary efforts from our Clean Beauty teams and our supply chain efforts, we are delivering a tenfold production increase for these new product in less than two months. We have also secured production capacity for our first two cannabinoid products for 2020. Finally, let me expand on our progress four our new specialty product plan in Brazil. Our current work is focused on civil construction. The detailed engineering design and specifying and ordering equipment with long lead time. It is important to note that COVID-19 related permits and longer logistics from vendors have costs us a one-month to two-month delay in the schedule. We are on track to start operations early in the third quarter of 2021. One additional point is that we have taken this time to optimize our budget and to reflect advantages in reduced material costs as well as improvements in exchange rate of the dollar to the Brazil real. As a result, we believe that our capital expense budget can be about 15% lower than we originally expected. I am very proud of our teams, very thankful for the great support from our suppliers and partners, and remain very hopeful about what we will do next for the rest of this year. Now, let me turn the call over to Han. Han?
Han Kieftenbeld: Thank you, Eduardo and good morning everyone. Let me start by saying that I'm very pleased to be part of the team here at Amyris. I joined the team seven weeks ago, and I'm looking forward to partnering with John, Eduardo and the broader team to deliver on Amyris's promising growth trajectory and set out a path to profitability and cash generation. Before I review the details of our Q1 financial performance, I would like to note key financial highlights for the quarter. First, Q1 revenue of $29 million was in line with expectations and doubled versus the same quarter last year. Gross margin was 63% of sales, a significant improvement year-over-year, due to a combination of sales mix from growing consumer sales and supply chain efficiencies resulting in lower cost of goods. This compares to minus 33% for Q1 2019 and 56% for the full year 2019. Adjusted EBITDA also in line with expectations, was up 41% year-over-year and improved by $19 million to minus $27 million. This improvement was mostly driven by favorable sales volume growth and lower unit cost. We improved our balance sheet by reducing our overall debt by 30% during the quarter. These actions, along with actions taken during the early part of the second quarter, will reduce our cash debt servicing obligations from $95 million to $45 million for full-year 2020. Now let's turn to Slide 10 to take a closer look at the quarter details. We are providing a somewhat different presentation to our sales revenue to provide more meaningful insight into the markets we serve. As you're well aware with our products, we serve our direct to consumer brands, Biossance, Pipette and Purecane as well as well as our business to business ingredients business with our strategic partners into health and wellness and flavors and fragrance end markets. Our revenue was therefore broken down between consumer and ingredients and collaboration and grants. The latter represents revenue from our R&D partnership programs. As you will see from the donut, 76% of our revenue comes from consumer and ingredients, broken down in 40% from consumer and 36% from ingredients, respectively. The remaining 24% of total sales comes from collaboration and grants. Consumers and ingredients revenue of $23 million was up 90% and collaboration and grants of $6 million was up 158%. Now turning Slide 11. Total revenue of $29 million was up $15 million or 103% year-over-year. See the table for an analysis on the variances. Key drivers for the improvement in sales were volume and mix for a total of $11 million or 75%. Of this improvement, $6 million or 43% was related to growth in consumer brands. Most notably, our Clean Beauty Biossance brand. Selling prices were principally flat year-over-year and collaboration and grants contributed $4 million to the quarter's growth. Consumer and ingredient sales of $23 million were up 92% year-over-year, of which price was plus 3% and volume mix contributed a plus 89%. Moving onto key financials on Slide 12. I already discussed revenue and gross margin on previous slides and will focus my comments here on the adjusted EBITDA bridge. Before doing so, let me comment that improvement in net income, adjusted net income and adjusted diluted EPS were all principally driven by a combination of sales growth and operational improvements. Q1 2020 adjusted EBITDA of minus $27 million represented an improvement of $19 million or 41% versus the same quarter last year. Significant progress was made operationally at the gross margin level, with $11 million from volume and mix, $3 million from consumer and grants revenue, and a $5 million improvement in cost of goods sold, resulting in lower average unit cost. These improvements were offset to a small extent by a $2 million increase in operating expense due to investments in marketing and sales to support growth for our consumer brands, partly offset by lower R&D expense. Let's now turn to Slide 13 to review a more detailed bridge for key earnings metrics. Net income of minus $87 million was adversely impacted by non-cash accounting for changes to debt and derivative instruments for a total of $37 million in the quarter. Adjusted net income of minus $44 million, which excludes these debt-related accounting entries, as well as stock-based compensation, improved $50 million or 25% year-over-year, which is a closer reflection of the improvements we've seen in the business. Adjusted EPS of minus $0.28 per share improved $0.47 versus the year prior. Again these improvements were driven by margin enhancement for a total of $0.12 per share and the year-over-year change in share count contributing $0.35 per share. I previously discussed the key items contributing to the $19 million or 41% improvement of adjusted EBITDA. Now turning to Slide 14. In the first quarter, we reduced our overall debt by 30% from $297 million to $209 million. This was a result of scheduled amortization payments as well as specific actions taken by management to reduce and simplify debt. $60 million of the principal reduction was previously reported in the current report on Form 8-K filed on February 6, 2020. Further actions have been taken since the end of the quarter and the Company published an 8-K on Monday, May 4 to announce an important amendment to the 2022 convertible notes. The company's senior convertible notes with an outstanding principal amount of approximately $45 million as of April 30, 2020 were amended to provide for an amortization payment in May 2020 to reduce the outstanding principal by $15 million to $30 million. Also, no further scheduled amortization payments will be due prior to the maturity date. Interest payments accruing at 5% per annum have been changed from monthly to quarterly with the first payment due on August 1, 2020. And importantly, all equity triggers have been removed. Net interest expense of $50 million was up by $2 million due to a higher average debt position compared to the same quarter last year. And finally, capital expenditures of $4 million in the quarter were $1 million higher than prior year. This increase was mostly due to investments in our new flavors and fragrance plant in Brazil. Now turning to our outlook on Slide 15. We are affirming the year-over-year growth sales revenue guidance we have provided previously. That said let me point out that the current COVID-19 situation does present uncertainties to which we do not have full visibility. Our guidance and comments should be seen with that important context in mind. Full-year sales revenue are expected to grow around 44% versus 2019 GAAP revenue of $153 million. 2019 full year sales included $49 million of non-recurring items. We expect full-year 2020 revenue to include an estimated $35 million of non-recurring items. With that in mind, we expect 2020 revenue on a recurring basis to grow approximately 80% on recurring 2019 sales of $104 million. We expect gross margin to operate at a rate greater than 60% of sales. Let me also explain our expectation regarding revenue phasing as set out in the bottom right hand table on this slide. This is critical, as we continue to scale our sales and thus improve our operational leverage on our journey to being EBITDA and cash generative. We expect H1 sales to be 30% of total annual revenue and the second half to represent 70% of 2020 sales. This expected growth trajectory skews sales and thus earnings and cash flow from operations towards the second half of 2020. With that in mind, we expect adjusted EBITDA to turn positive during the fourth quarter of this year, which will be historically important for Amyris. With that, I'll turn the call back over to John. John?
John Melo: Thanks, Han. Before we open the call up for questions, please turn to Slide 16 as I highlight a few key points. We have built the leading synthetic biology platform and we are realizing the real power of the platform through our distinctive product portfolio and business model. We are in the process of a breakout year in revenue growth, significantly improved product gross margin, lower overall operating costs and we are crossing into consistent positive EBITDA territory in the fourth quarter. Our leadership in Clean Beauty and in natural sustainable ingredients could not be better positioned for the current time. Consumers are moving aggressively to clean and safe products from the brands they trust. We supply many of these brands and we have two of the leading brands to help consumers in this time of need and beyond. Han and the team have made great progress on our balance sheet and I expect more as we go through the year and continue to improve our liquidity. The combination of our operating performance, improved mix to high-margin consumer products and the support of our long-term shareholders provides us confidence in building on the momentum we are gaining through COVID-19. A few investors have asked me, so what's different going forward. And I'd highlight four key points. First, a portfolio that is now scaled and is reaching a performance level that can cover our fixed base and deliver some of the strongest adjusted EBITDA in our industry. Secondly, we are deleveraging at a fast rate to ensure that we've got a stable balance sheet to support our future. Thirdly, with Han coming into the company and having deep experience at scale, both as a public company CFO and as an operating leader, we now believe we have all the leadership components in place to really scale with us and execute on our business. And this really includes Eduardo's role as Chief Operating Officer and Catherine and Caroline with each are leading our brands and doing an amazing job with a leadership position in the respective market spaces for those brands. And last but not least, a significant reduction in the fixed cost base and more movement towards a lower base as we go through this year. When you combine those four things, we are really in a place to sustain significant growth and do it profitably as we go forward. We've had a very intense eight weeks with many uncertainties ahead of us. I know all of you are in the same place as we all work hard to keep our people safe and healthy. I really want to thank you all for the continued support and I look forward to the second quarter being a fantastic quarter for us, building on a great start to the year and what we are expecting to be a solid year for us. Let me now turn to questions. Christie, can you help us with questions?
Operator: Thank you. The floor is now open for questions. [Operator Instructions] And we'll go first to Colin Rusch with Oppenheimer. Please go ahead.
Colin Rusch: Thanks so much, guys. And so, I just want to make sure I understand some of the product dynamics correctly, because you guys actually sold about 30% more on the products than we expected for the first quarter. Can you talk a little bit about the seasonal dynamics as we go through this first quarter into the second quarter on both, ingredients and consumer side? And then, how we should think about mix between those two categories as we get through the rest of this year?
John Melo: Yes, I'll give it a stab and then Han, you can back up with what I've missed. Okay, Han?
Han Kieftenbeld: Sure.
John Melo: By the way, Colin, thanks for being on board with us today, and appreciate you taking all the time to ensure that you had a good sense of where our business was. Look, the business is changing dramatically and happening very fast. I would tell you that almost on a weekly basis, we're looking at the portfolio and we're assessing, you know, what's actually moving. You know, you saw already a move in the consumer piece now being equal to, if not slightly bigger than, the ingredients piece. And I will tell you as we go into the second quarter, that the consumer business will become significantly bigger than the ingredients piece. I think for the year, it will be well-balanced. I think we've said about $90 million each for the brands -- meaning, $90 million in total for the brand revenue and $90 million for the ingredient revenue. One clarification I'll make is in the past we've used Clean Beauty as the way we've described our activity in beauty which included the Squalane supply business to the cosmetics industry. Now when we actually say brands, it is really, truly brand revenue and that's really a result of scale; our brands now are delivering enough scale that we really want to -- we want to illustrate the revenue of the brand separately from the ingredients. So when we say ingredients, it's all of our ingredients; when we say brand, it's pure brand sales through all of our channels. So, I think again back to answering your question Colin, I expect in the second quarter the brands to do quite a bit more than ingredients. I expect for the full year for it to be fairly well-balanced, about $90 million each or about $180 million in total, as we approach the end of the year in product revenue; which is really a significant shift, it's significantly more than we expected to start the year. And again, that's just been a result of great progress on the brands and a lot of luck in having the right portfolio at the right time on the ingredients side, to have 96% of our ingredients go into personal care and cleaning products has really been a blessing at this point in time. And again, in both cases, because of the significant contributions from the brands, where we are -- we do realize a higher gross margin. And then obviously, with the ingredients, where we do realize a higher EBITDA contribution and balance the portfolio really gives us a very strong earnings power as we go through the year. I think the last thing I'll say is, the fact that a lot of our growth this year on the brands is happening online has also significantly improved our cash cycle. The great thing about online is in many cases, we'll get a customer payment before we're actually paying for the cost of goods and the inputs to make the products we sell to the consumers. Our biggest challenge in making all this happen is really getting supply up fast enough to meet demand. I'll tell you that's where we are scrambling and spending a lot of time bringing on additional supply chain capacity as we deal with the demand that we're working on. Han, would you -- is there anything you'd like to add?
Han Kieftenbeld: Nothing John, you covered it well. Maybe two data points Colin for your benefit is that we think about the consumer and ingredients category. And looking at the two components, you saw that they're relatively evenly spread in terms of making up three quarters of our business. If you look at the consumer brands, that growth year-over-year in the first quarter was actually north of 200%, 230%. And then on the ingredient side, that equally grew nicely; that growth was 50% in the quarter, again, year-over-year. So we saw growth on both sides of the equation within that category, if you will; but clearly, more accelerated growth on the consumer brand side, as John just described.
Colin Rusch: Perfect, guys. So looking at the molecule development; we acknowledge you guys at delivering two molecules this year, sounds like you're already just about done with delivering those molecules. Can you talk about your ability to collect on delivering those molecules? And what we can expect in terms of that development business through the balance of the year?
John Melo: Well, I mean it really depends on the partners, right. The two that I referenced this year were actually delivered last year but really scaling up this year from a commercialization perspective, right. So they really don't count, although I'd love to take the credit towards the three to four. The three to four are on-track; we actually expect three to be scaled this year. And the way I would describe it regarding the other part of your question Colin is, you know, our ability to get paid. The ones that are scaled and commercially successful are with significant long-term partners who are market leaders, and we have no question about the market leaders and our relationship and quality relationship with those partners. Delivering and paying us, I said those two products this year will each result in about $10 million of revenue for us, and that's exactly the kind of partnerships we like and we're big believers. I think in the three new products we're launching this year, again, we expect to scale them successfully, manufacturer; and then, like this year where the two products that are generating $10 million each of new growth to the ingredient portfolio, I think that that kind of profile is what you should expect, which is the year we introduced and scale a product -- I can tell you we don't actually have any revenue in our plan from those products. And then, the following year, after we actually have them in the market, we've seen the adoption; we didn't start to actually layer in what we think the growth and revenue contribution from those products will be. So again, I just want to emphasize, the two that we spoke about are products we actually scaled last year and are having great commercial success this year. That's three to four that we've guided, or about new molecules that we're scaling this year. We don't have revenue in the plan from the production of those molecules this year, we don't have anything in our outlook. As we scale them this year, and we're on-track to scale them; we will then look at how we think about adding that and guiding for that revenue as we go into next year.
Colin Rusch: That's incredibly helpful. Thank you. And then, turning to the balance sheet; I appreciate that you guys are simplifying the balance sheet and giving yourself a bit more flexibility. Han, now that you've been in a seat you've had a chance to evaluate what's going on. Do you have thoughts on the cadence for continuing to optimize your cost of capital and provide the company with the appropriate flexibility and stability for the growth that you're looking at?
Han Kieftenbeld: Yes, absolutely Colin. And that's why we highlighted this specific point, that -- where we were at the start of the quarter, where we are at the end of the quarter, which is an $89 million improvement. And as kind of John alluded to, this will be an ongoing effort. We have obviously made the announcement regarding the significant reduction and simplification of the convertible note, which is an important milestone for the company; and that we had announced in an 8-K this past Monday, so that is already a further reduction to what you're seeing on the page here. And then, we have a number of other actions that we're contemplating and discussing to further reduce debt probably by one more step, probably by the end of this quarter. And then definitely as we look to 12/31, so towards the end of this year, further steps are to be expected. So, our overall goal is -- and again, think about this that we started the year at around $300 million to bring this down to low one hundreds. And we want to obviously do it in a very deliberate fashion that makes sense for the company, makes sense for the holders, and -- but that's clearly an objective we have because it's been important to lower our debt servicing needs going forward.
Colin Rusch: Thanks so much, guys.
John Melo: Thanks, Han. And I just want to emphasize Han's point; we wouldn't be indicating further reduction in debt if we had not been active in discussions and had visibility as to how we're going to get there. And again, we've been very fortunate with the support of long-term shareholders where our focus is not will we be here or not; it's actually how do we take advantage of this growth. We think this is a moment in time, and we think there is going to be -- and there is -- we're living this real-time, a significant bifurcation of brands and businesses. The people who could make it through this period are going to be stronger on the other end, and there's no question; we're seeing it with brands, we're seeing it with product supply, we're seeing it with partners, right. There is a flight for those who can deliver, there is a flight for those who have product available, and that is all occurring at a time when supply chains are breaking all over the place. We are -- again, we are in a shit storm, to kind of make it really simple. And I'm very, very clear that the bifurcation is taking place, and our focus and the focus of our shareholders is to ensure that we're on the other end, and we're actually benefiting from this dramatic shift that's taking place across industries and with consumers. And I don't think we get back to normal, I think there will be a new normal, especially in retailing and consumer behavior; and I think that new normal will be with us for some time, hard to predict how long, hard to predict what it looks like in the future, but we are definitely not going to be into or back to what we were.
Colin Rusch: Right. Thanks so much, guys.
John Melo: Thanks Colin.
Han Kieftenbeld: Thanks, Colin.
Operator: And next we'll move to Amit Dayal with H.C. Wainwright. Please go ahead.
Amit Dayal: Thank you. Good morning, guys. Good to see the execution you've gone through in this turbulent time. So, you're maintaining a base revenue guidance, John, for 2020; any color on the $20 million to $40 million upside you have talked about on the previous call? Is that still in play for us?
John Melo: Look -- and by the way Amit, thank you for being on, and we -- we probably -- we will spend time with you because I think you've got your four year with us probably around where it needs to be, but the phasing over quarter and the mix in our business obviously is different and has been choppy as always. But we'd love to work with you in aligning that, and I know the team will work with you on that. Look, I think the upside; if you take our comments, what you could take away is just on the product side we're already delivering based on current track, a significant upside that more than covers what we had guided. The reason why we're sort of staying focused on the 220 [ph] is, as much as today we could see that upside coming through, we see it playing through, I think Han is spot on, like the world is changing dramatically every day, and we don't want to sit here in light of further changes ahead, uncertainties as to what things look like on the other end of reopening of the economy and what consumer behavior is, and then be stuck with that message. So we're very clear that the 220 [ph] is attainable based on where we are, we're very clear that we're already realizing the track to the upside we've indicated. We're also very clear that what happens a month from now is completely unpredictable. So I think it's prudent that we stay here and reinforce that we're already well on our way to what we thought the upside could be. But it's a perfect example. We didn't think the upside was in product, and here we are, headed for a year with product, based on the current track, is capable of delivering about $190 million dollars. So, that kind of tells you how fast things are changing in the business. Han, anything you want to add to that? 
Han Kieftenbeld: Yes, what I would add is a little bit of color. I spent the last two decades plus in the specialty ingredients industry, and with a number of end markets into food, beverage, nutrition, personal care, and so forth. And to be honest, one of the reasons I'm at Amyris is clearly for the tremendous portfolio and the growth opportunity. What I would say is, looking at this in context, I mean, we've obviously guided on call it the 44% kind of year-over-year growth and on a recurring basis, 80%. I mean, these are very significant numbers by any measure, I would say. And therefore, what John just said, in the context of COVID-19, which is a truly unprecedented situation, we are working hard towards achieving what we guide on, and we will continue to do so throughout the year. But I think these are already percentages that are very significant by any industry standard. 
Amit Dayal: That's helpful. Thank you for that color. And then, as you are seeing some of this migration towards online sales, can you talk about any initiatives you are undertaking to fortify your digital sales channels in the face of the current environment? 
John Melo : Absolutely. I mean, I'll give you a few examples. I could probably spend the rest of our call with the examples of how the teams have pivoted. But a few examples are our field sales force, because we had a field sales force that supported Sephora physical stores. And as you all are probably aware of, Sephora stores have been closed since about the third week in March. And that team has pivoted to providing online, live chat and advice to consumers. They pivoted to doing online classes on Instagram Live. We're doing YouTube content, and we are aggressively online through social, focused on really engaging and getting our influencers to work with us in supporting the consumer. I mean, this is a point in time -- it's a really interesting point in time where the consumer has gone digital, and the thing that's missing most in the consumer's life is a human touch. So our focus has been let's bring human to the digital world, and let's bring human into the digital world by redeploying all of our talent as they work from home, in a way where we can give the consumer what they need. And you can imagine, in this point in time, a consumer at home, especially with what happens inside of a house, is experiencing dry skin. Add to that the anxiety and stress they're feeling, and you've got the most unhealthy mix of what occurs to skin that any of us could imagine. And so, being able to counsel, help, advise, and guide. And then, last but not least, we've done quite a bit in making sure the supply chain is able to deliver because one of the things we're seeing with a consumer is as much as they're looking for products to keep them healthy, they're not able to get them in many places today. So that's really what we're focused on, human touch through digital, by redeploying all of our talent, and whether that means more people on service lines, more people on live chat, more people answering comments on Instagram, our teams doing Instagram Live classes, and really making education a bigger and bigger part of the brand, and, or fulfillment, being able to really deliver orders when they're placed through our Biossance brands and catching up on the supply side with a Pipette brand. I mean, I'll tell you, we had several weeks where we couldn't get enough baby wipes in stock, at either our amazon.com fulfillment or our own website. So it's those things we've had to redeploy and focus to make sure we can give the consumer a positive experience during this time. 
Amit Dayal : Understood, John. And then this hand sanitizer business that you have been opportunistic around, do you think this is here to stay? Or will this be sort of a short-term benefit and then maybe taper away? 
John Melo : I think the short-term aspect of it we definitely see staying for a while. How long that while is and what happens with behaviors long term, again, I really don't want to guess that. The data is pretty interesting. Hand sanitizer sales are up about 800%. What I didn't give you is color as to how big of a footprint and where we expect to be. As I said, up 800%. I expect the long-term impact is for the industry to remain up about 400% from what it was prior to entering this period. And I see that because where things are opening up, everybody is required to have sanitizer available for the consumer. So we're dealing with 50,000, 100,000 and, in some cases, one million unit orders from wholesale partners all over the place, whether it's the folks at Grocery Outlet, whether it's convenience store chains across the country. And as I said during the call, we haven't even started on Amazon. We start on Amazon in about a week or so selling the hand sanitizer. So I see today, just a broad range of demand from our online to wholesale to retail that, again, easily supports kind of the volume that we're ramping up to. And then, we're also doing it across continents. We're obviously in the U.S. My expectation in the U.S. is we end up with about a 10% market share of the hand sanitizer market in the U.S. long-term. We're launching production and sales in Brazil, and we have already sold somewhere near 80,000 units in Portugal. So this is not a -- and the Portuguese business is expected to support the European market in Europe, although U.K. is no longer part of Europe. The U.K. is sitting there with amazing constraints in getting hand sanitizer. So, I always think of this as the moment where us being able to scale up and deliver, and do it with a very differentiated product that has the opportunity to be a market winner, enables us to win the consumer at a point where they're going to be using sanitizer for quite some time in their life. I mean my personal experience, as I'm sure many of you have also had, is a great example. I didn't use hand sanitizer before the last month. Now, I have one in my car, I have one in my office here, and I have one in the house as I enter the house. And I'm basically wiping my hands with sanitizer eight to 10 times a day. And I see that with my neighbors. I mean, I just see that everywhere today. And I think we can be a big part of that solution. And again, how big the business remains, and how long it stays with this kind of demand, I think is to be seen. This is part of why Han and I have taken a very conservative view in how we think about the year and how we think about guidance. 
Amit Dayal: Understood. Maybe one last one for me. With respect to the balance sheet and the debt levels, do you have an opportunity to potentially refinance the debt at the lower interest rates, given the current environment? 
Han Kieftenbeld : Well, we were looking at -- go ahead, John.
John Melo : No, no. Han, all yours. You're on this.
Han Kieftenbeld : We'll obviously be looking at every opportunity we have. As I said in one of my opening comments, I’ve been with the company seven weeks. We've already made some very good steps forward, I think, in terms of simplifying the debt schedule. But surely, we'll look at the market dynamics and see. That's some of the comments that I made, but also John with a follow-up, that we are working, we are looking at this actively, and simplifying and improving the economics. It’s clearly a priority and will continue to be a priority. And so, you should expect to see a reduction, as well as a simplification and a reduction in the cost of debt to service the debt. 
Amit Dayal : Understood. Thank you for the all the color, guys. I appreciate it. I’ll get back in queue. 
John Melo : Very good. Thank you. 
Operator: And next, we'll move to Randy Baron with Pinnacle Associates. Please go ahead. 
Randy Baron : Good morning. I think it's great that you're shifting to a breakout of the branded kind of [indiscernible] ingredients per segment. It certainly makes it easier for modeling. Along those lines, can you just break out the segment for consumers? How much of the $11.5 million in the quarter was Pipette? How much was Biossance? How much was Purecane? 
John Melo : Very good. Randy, good morning to you. I will tell you that the majority of the first quarter was Biossance. I can tell you that Purecane and Pipette in the first quarter were probably less than $0.5 million. Han, you probably have that number top of mind. 
Han Kieftenbeld : That is correct. 
John Melo : Yes. So it's -- and again, in the second quarter, that is becoming much more balanced. I'll tell you the month of April was almost 50-50 between Pipette sales and Biossance sales. 
Randy Baron : Okay. And then given that hand sanitizer seems to be an increasing part of the conversation, what are the gross margins in hand sanitizer? 
John Melo : The first production was around the 40% level, and we now have this ability to get close to 60% as we start implementing much more efficient supply chain approaches to the hand sanitizer. 
Randy Baron : And is that kind of the same with the biossance.com that when someone orders it directly through pipette.com versus in Amazon when that comes online, the margins are -- I just remember Biossance -- it's what, 93% if they order there versus others? Is that the same kind of direction? 
John Melo : It is. It's not that big of a variable because of the demand profile of the sanitizer, but it is. There is more margin in the online sale. 
Han Kieftenbeld : And the other thing maybe to add to that thought is -- and obviously important to the company is kind of thinking about the cash cycle, right? So the adjacent benefit from the increased online purchases is shorter cash cycle. And actually, in some instances, a negative cash cycle because we collect monies from the consumer pretty much upon purchase, whereas working with our supply chain side, typically 30 days kind of net. So all in all, it's a margin play as well as a cash flow play. 
Randy Baron : That makes sense. And then I want to follow up on the outlook question that the first two callers mentioned. In a world of uncertainties, when many companies are pulling guidance, you already recommended for -- reiterating yours, I also think it's great that you’re going to work with Amit to help him tighten his quarterly numbers since, according to what I model, according to -- Colin, you guys at a quarterly beat. I think that really should be stressed. And while it's prudent in a world when you're kind of waiting to see what Coronavirus brings, my question is, in any other normal year, ex-COVID, would we be able to say today that revenue for 2020 would be in excess of $250 million? 
John Melo : Very simple, yes. 
Randy Baron : Excellent. And then my last question relates to the 8-K, Han, that you mentioned that was filed on Monday. One thing that jumped out at me regards to language of raising at least $50 million by the end of May. Can you -- I know you kind of touched around it. Can you elaborate on what you guys have planned, and then the degree of confidence that your team has in getting it done, whatever it's going to be, by May 31? 
Han Kieftenbeld : Sure, I can make a few comments. I mean, we're obviously -- and I think we said this previously, and before I arrived. We're always looking opportunistically and also looking at the financing needs, the funding needs of the company. And that's what we will continue to do. And looking at the overall markets, as much as the question that was just asked around debt, how do you guys think about that, well, the same for the funding of the company. We look at that in that context. So that's what I would say. 
Randy Baron : Okay. Understanding that, but whatever it is that you're doing, is it going to be enough to get the company to that fourth quarter EBITDA breakeven? And then related to that, is this the last kind of potential raise of magnitude? 
Han Kieftenbeld : I think what I will say is that we're strategically -- and since I've come on board, which again, has only just been a seven short weeks, I've been working closely with John and others on the team to strategically think about our needs going forward. And that's what we're doing. That's what we're evaluating, and that's what we're pursuing. 
Randy Baron : Thank you. 
Operator: And our final questions will come from Graham Tanaka with Tanaka Capital. Please go ahead. 
Graham Tanaka : Congratulations, and welcome aboard, Han. 
Han Kieftenbeld : Thank you. 
Graham Tanaka : A lot of moving parts. I just wanted to kind of maybe start off with trying to understand how much the mix is changing to online. So, what percent of your revenues might be online in the second quarter versus first quarter, and then maybe for the year? 
John Melo : Hey, Graham. Thank you for being on the call with us. Look, this is again, another part of the uncertainty that creates a lot of variability. Right now, all of our consumer sales are online. And the assumption we're making is that's going to be the case through the second quarter. Now, I will tell you that the Sephora stores have been looking at a restart through the month of June. How that goes, how it happens by geography, how consumers respond to that is all uncertain. So I think our best assumption is really what we're working towards right now, which is that everything happens online through the quarter, and then at the end of the quarter, we'll look and see where's consumer behavior and what's happening in physical retail. 
Graham Tanaka : Okay. 
John Melo : And by the way, I'd like to clarify. When I say online, it's not all through our online properties. We have three online properties, four actually. Three that are very material, Biossance Brazil, Biossance U.S., sephora.com. And then we have quite a few third-party online assets through Amazon, through Target, and through Walmart for the Pipette brand. So I just want to make sure when I say online, it's not just our online, it's online across both us and our partners that the business has moved completely to. 
Graham Tanaka : And then in terms of margins and profitability, is similar gross margins for the third-party online versus the company online? 
John Melo : No. The company online, obviously, we realize very strong gross margins, as Randy highlighted earlier. But in the third-party online, it's actually more of a wholesale margin structure, and not the same kind of structure we have in our direct online sales. All of that said, I want to emphasize that our own online has realized a significant shift in growth. And you're -- we're seeing that in our overall weighted gross margin for the brands. Really going up in all, probably somewhere around 300 basis points to 500 basis points, as the shift or the mix has shifted to our online. But it's not like going from 60, 65, to 90 because it's not all our online. It's actually a mix of our online and our partners’ online sales. 
Graham Tanaka : One of the other things that is interesting is your cost reduction program and what Eduardo was doing. I'm just wondering, in this environment, if you can anticipate further improvement in cost, the unit cost that you've referred to, which has really also held margins, and I'm wondering if you could maybe try to quantify what that improvement might be in the course of the next 12 months? 
Eduardo Alvarez : Graham, let me emphasize. We have shifted our production, and expect the continued benefits from scale and from technical and process improvements. Those have already been sort of part of what we expect and what Han has mentioned. And we will continue to look to additional improvements, as I mentioned when I did little bit of a deep dive on the Squalane. There are some market activities and improvements that we have noticed will continue, and we will continue to capitalize on those. But by and large, we have already given -- this is the fifth quarter in a row where we've seen these improvements. We already have a good set of expectations around where the scale and operational improvements will be for the rest of the year. As I mentioned and John mentioned, all of the products we’re making, we've made before. So we really feel very confident in where we are going from a product gross margin and volume perspective. 
Graham Tanaka : Right. So I'm just trying to understand, is there further improvement in say, the third and fourth quarter coming up? Or are you reaching a higher plateau already? 
Eduardo Alvarez : No, we are going to see further improvement, but it's already baked into some of the expectations that we discussed. 
Graham Tanaka : Okay, great. That’s terrific. 
Han Kieftenbeld : Yes. I'll say just that last point, Graham, is important because as you think about how I mentioned the phasing of the year with important part of the revenue skew to the second half, but also emphasizing, and John mentioned it too, that we're going to be EBITDA positive in the fourth quarter. These considerations of continued improvement on the operation side have been considered into that assumption and that expectation. 
Graham Tanaka : That’s terrific. So improvements on the cost side, improvements in mix and the scale. This is maybe a bit of a trickier question, but if you do have upside in terms of products, whether it's Pipette hand sanitizer, or the sweetener, Reb M sweetener, or other products that seem to be growing rapidly, what kind of incremental margins might you expect either in terms of incrementally higher gross margin or operating margin if, say, you were to have $10 million more revenues than you expected? 
John Melo : Let me maybe give you a couple of key points on that one, Graham. Look, the biggest swing that we're cautiously optimistic on is what's happening in the consumer business. And if the momentum continues, we'll actually be at a point where we’re going to be quite a bit better than we've guided to, and we'll have a strong gross margin profile. I think on the ingredients side, I'll pick the sweetener as an example. I mean, I think Eduardo's spot on. We know the sweetener production. There's quite a bit of expansion in margin happening in sweetener because of improved cost of goods through each of our campaigns. We know how much volume we're going to make. We're on track to doing that. And the volume we can make this year at the cost we know we could make it has the sweetener that we can produce this year sold out. And that's the way we kind of think about it.  So we know sitting here, there isn't a dramatic upside on some of our core ingredients. We do see some swing volume on Squalane. We're seeing the demand come through because we're not the only skincare brand that's doing well during this period, others are. And we're seeing the demand for Squalane come through as a result of that. So it depends where in the mix. We've got a good handle on the ingredients side, and we know what the elasticity is. And the big driver of really upside on the product side is what's happening with consumer. And I would say that, again, if everything we're seeing now is realized -- and there's a lot here that has to happen. For instance, we said earlier we really need to get to about a million and a half units a month run rate production of the sanitizer during the month of June. We've got the opportunity set up to do that, if we can execute on that and maintain that.  And the thing I didn't highlight is as a result of the sanitizer, all the other products inside the Pipette brand are up about 400% this year. So it's a customer acquisition strategy that's sticky. Consumers love it, and it's driving demand for all the other products in the portfolio as consumers come and visit our site. If we can retain that, and we can get the production up, and maintain the cost of the goods profile that we have, then the upside is we actually deliver a 30% EBITDA in the fourth quarter. But that's the kind of range we're dealing with. So we want to be careful that we keep guidance where it is, we give you transparency and what the upsides are and what we're managing to, and we focus on really executing. That to me is the number one priority right now, is execute, execute, execute, and ensure that we actually win coming out of this so that we do, in fact, have a transformed business because we're there for the consumer when others aren't able to be. 
Graham Tanaka : Right. Now, this is -- also I find rather interesting. The Pipette brand was introduced, and you said earlier last quarter that there’s a launching session expected, then COVID hit. And it looks like all of a sudden this is a brand new, almost new category, killer in a way, because you're taking shares that you're talking about possibly having even 10%, which is amazing in that market. How big could this whole product line be, the Pipette line? Because I think you referred to a body wash or something, which I had not known about. So what -- of your sales estimate for Pipette expectations for this year, what percent would be the hand sanitizer and what percent might be additional products? 
John Melo : Okay, here's the way to think about it. We came into the year thinking, from a revenue perspective, Pipette could do somewhere around $6 million. Where we are now says Pipette and the product pipeline or the product mix in Pipette that was there, like for like, is now looking more like $10 million or more. And then you look at what's happening in the wash, the clean, and the sanitizer kind of market, which are all new skews for us. That group of new skews is likely to generate north of $30 million in revenue this year. So that kind of gives you a scale of what's happening here. And it's all happening very, very fast.  And, again, I would give you a same kind of profile for Biossance, except Biossance is much more mature. And therefore, the growth we're seeing there is just around the base portfolio of products in Biossance also doing better than we expected for the year in the shift to online. 
Graham Tanaka : That's great. Now, sorry to shift, but the adjuvant that you were speaking about on the ingredients side possibly for vaccines, could you explain a little bit more about that? Because I don't think there's an appreciation for what actually -- whether it's just a carrier or an active ingredient for the pharmaceutical companies that are usually looking at it. 
John Melo : I'll do that, and then we'll have to end with this question, Graham, because I'm getting told to cut it. So, let me describe it in a very simple way. Think about the adjuvant as the turbocharger that could increase the efficacy of a vaccine. Today, it's predominantly used in children's vaccine for the flu and elderly people's vaccines for the flu. And that's where Squalene, as an adjuvant, is used mostly around the world. So it varies in its impact by type of vaccine. That's the other point to keep in mind. And the other way to think about it is that the adjuvant itself is about one-third of the volume for a vaccine. So you can think of a vaccine as one-third the active molecule, one-third the adjuvant, and one-third a derivative of vitamin E, as a way to think about a traditional flu vaccine. And again, there's a lot happening with vaccines for COVID-19, everything from RNA vaccines, to DNA vaccines, to traditional protein vaccines. And today, we are currently using our adjuvant in one of the RNA potentials, and then in another alternative potential vaccine.  And our focus here -- and we need to actually not disclose much, but our focus here is we've got a few pharmaceutical partners that we're in discussions with, and I'd expect in the short term, to be in a place to have a pharmaceutical partner, which actually enables us to play into the vaccine space. Because that's not our expertise. We're not doing discovery or development of the vaccine. We are one of the components, one of the ingredients in the vaccine that represents about a third of the volume and a critical part of scaling it and making it or increasing the efficacy. I hope that helps. 
Graham Tanaka : I just want to understand if you're just going to be aligned with one, or two, or three partners, and that's it. If their vaccine doesn't work, you're not involved? Or could you be involved in whoever has the vaccine? 
John Melo : It's hard to say at this point. Again, we're in the middle of discussions. I can tell you the global health community is collaborating very strongly together. So, what I would expect is if we have the leading adjuvant, which we believe we do, and the leading vaccine needs an adjuvant, then I think we're going to end up playing. That's the way I would look at it. But there's no -- it's hard to sit here today and say whether or not an adjuvant is going to be part of the winning vaccine. It's hard enough to know what is going to be the winning vaccine, but we're trying to understand that landscape, and we're really leaning on pharmaceutical partners as a way to understand and play that role. 
Graham Tanaka : Terrific. Good luck. 
John Melo : Thank you very much, Graham. Look, I'd like to thank everybody for your time today. In closing, I want to really thank the Amyris Team and our partners for keeping everyone safe and healthy. We've been very fortunate across the Amyris family not to have any COVID-19 cases. And that's really through the help of a tremendous amount of work happening around our task forces to ensure that we keep our people safe and our environment safe.  I'd like to wish all of you a good rest of the day and a good weekend, and please keep your families safe and healthy. And if you do want a very different experience for a hand sanitizer for you and the whole family, one of the things we've seen with our hand sanitizer is that it's safe for children, it's safe for expecting mothers, it's safe for the whole family, and you can do what many other consumers are doing, which are buying five to eight units at a time at pipettebaby.com. And if you like to buy from Amazon, in the next five to 10 days, you'll be able to buy and get it from Amazon. And that excites us because that will be another channel that we could leverage capacity for delivery. Thanks again. Have a good rest of the day. 
Operator: And that does conclude today's conference call. You may now disconnect your lines, and have a wonderful day. Thank you.